Gene Murtagh: Good morning, and thank you very much, and welcome everybody to the 2021 Interim Results of Kingspan. We'll take you directly into the presentation at Slide No. 3, titled H1 2021 In Summary. So in essence, it was a remarkably strong period for Kingspan. Our revenue was up 41% to €2.9 billion, trading profit up 64% to €329 million. And just interestingly, those 2 statistics when compared against 2019 were up 30% and 43%, respectively. So a very strong period for us by any measure. And that's resulted in earnings up 66% at just over €1.32. So just by division in brief, we'll go through this in much more detail later. Panels were up 44%; Boards up 36%; Light & Air up 39%, which was largely reflective of the integration of the Colt acquisition; our Water & Energy business was up 36%; and Data & Flooring up a pure 22% year-on-year. Just moving to Slide 4. I think our mission is well understood in the sense of our desire to accelerate the drive towards 0 emission buildings. And we deliver that externally clearly through the product solutions that we provide, but also internally through the Planet Passionate program, which we'll go through in some more detail further on in the presentation. But just in summary, the insulation systems that we will deliver to market this year will, over the life of the buildings that they're involved in, deliver carbon reductions of almost 200 million tonnes. So that's literally the amount of material we put into the market in a single year is going to deliver those sort of carbon savings over the life of the buildings that they're in. So it's really a pretty extraordinary what our systems deliver. And from an internal perspective versus 2019, we expect to deliver an 8% absolute reduction in Scope 1 and 2 CO2 emissions this year versus 2 years ago. And clearly, we've a very robust plan to reduce that much more significantly into the future. From a circularity perspective, we set a goal a few years ago of delivering an integrated system from our Synthesia business, whereby we recycled plastic bottles essentially into insulation. We set a target of 1 billion bottles for 2025, and we're well on track to that, expecting this year to up-cycle over 800 million of those, which is very serious. And then from a water conservation perspective, again, the systems that we will put into the market this year from both our European and particularly our Australasian businesses will deliver rain water harvesting figures of over 40 billion liters of water in a single year. And so fairly compelling numbers there. Then in terms of how we do it, it's clearly about the envelope and increasingly, what we call, the arteries, which really relates to ducting and pipe insulation. So our whole agenda is around having the broadest possible selection of materials that deliver energy efficiency around the envelope and the arteries. And again, we'll go into that in much more detail later on. But our strategy is fundamentally about increasing our exposure to all of these areas in our business and on a global scale. Just moving to Slide No. 7, which is titled Buildings For The Future. And here, we just want to, I suppose, talk a little about the emerging sectors or the fast-growing sectors that we're increasingly aligning ourselves with. And we've talked about for a number of years now. So in brief, if you look at the auto industry and in particular, the EV market. So that's a market that grew at 43% in 2020. But still, even at that level, it's still less than 5% of global penetration. So it's a large and growing part of our business. And obviously, with the expectations for most of the industry to move towards zero-emission vehicles by around 2030. The growth for that sector is clearly going to be pretty extraordinary, and we expect to continue to align ourselves even more closely with that. Similarly, from an online retail perspective, it's been actually a big part of our business for a very long time, not just online but distribution in general. And overall, if you take a look at Western Europe, still even post pandemic or during pandemic, well under 15% of retail is via online. So again, this is an area that we would expect to see significant growth in the future, and it's an area where we're extremely well embedded in right across the globe in fact. From a Data Center Solutions business, again, both through our flooring, our insulation business, our industrial insulation business and our insulated panels businesses, these are -- all represent opportunity for the -- right across essentially the product portfolio of the group. So even in the last 5 years, traffic across that segment has grown by 10x. And even from that base, it's expected to triple over the next 5 years or so. So again, a key end market for us to increase and become exposed. And then finally, just in terms of emerging sectors, I know you might think it's way out there. But the space economy is something that's clearly growing and it's going to grow largely around the delivery of Internet and data via space. So that's going to require increasing infrastructure on the ground. And as Kingspan, we're again aligning ourselves with the key operators in that segment, and it's going to become a growing part of our business globally. So I'll just hand you over to Catriona now on some IPC stuff.
Catriona Nicholson: Morning, everybody. And just on Slide 8, talk a little bit about the role that buildings play in carbon emissions and the role that they can play in reducing carbon emissions and helping to maintain temperatures to 1.5 degrees above the industrial area level. So we conducted research in Kingspan, and as everybody knows, buildings account for about 39% of carbon emissions. And much of that is in the operational buildings, much of that is in space heating in buildings. So really as efficient as you build new builds, it can't really address the issue with the building stock that's out there. And the key to reducing carbon emission in buildings is really in addressing the envelope first. So there's a good deal that needs to happen in terms of renovation. We believe it needs to be about 4x the level it is now in residential and 2x the level it is now in industrial. And really optimizing the efficiency of the building envelope is going to help optimize the services inside the building and reduce the pressure as businesses and buildings try to electrify. And clearly, installations will play a key role in deep energy renovation as it relates to buildings. On to Slide 9. Kingspan will be there with our insulation across the board. So not only in the very advanced sector, but we can satisfy the needs of insulation across the spectrum. Clearly, there's a demand-driven aspect that the lower performance and Kingspan said about converting specifications of building to the advanced specifications and advanced solutions at the right-hand side of the spectrum with QuadCore and Kooltherm and [indiscernible] are moving forward. And clearly, product integrity, on Slide 10, just to talk to that for a moment, is a cornerstone of what we stand for and what our products stand for. So just a little bit on what we've done on that over the last 8 months, and it's always been the cornerstone of what we've done, but we have had the group compliance system accredited to ISO 37301. And actually, we're among the first manufacturing facilities in the world to be accredited to that standard and the first in our industry. And we expect to have 20 facilities accredited to ISO 37301 in the first half of 2022. Our compliance team has audited 50 of our manufacturing facilities, and we'd expect to have a further 30 facilities audited by the end of this year. And it's something that maybe not understood very well, but we have constantly product audits conducted by external parties throughout the year. And we have over 250 million product audits conducted so far this year by external parties. And clearly, there's a huge commitment on this end across the group. And I'll hand back to Gene now.
Gene Murtagh : Great, Catriona. Thank you very much. We'll take you now to Slide No. 13, please, which is titled Planet Passionate. And this is a program many of you will be very aware of. We're deep embedding this right across the organization. In terms of progress in even the year-to-date, it's been very significant. So building on the back of year 1, which was 2020. And just to highlight a couple of the areas that were -- and bear in mind that these are generally in absolute terms. And so despite the growth that we're seeing across the business and the growth we're seeing in the number of manufacturing facilities, most of these are absolute improvements year-on-year. So in terms of direct renewable energy use, that's moved up to 30%. We have a target of 60% right across the group by 2030. In terms of solar PV systems on all of our wholly-owned facilities, again, we've a target of 100% there. We're up to 29% already, and we've got 8 or 9 years to go in terms of that target. From a net 0 carbon manufacturing percentage, and again, this is real year-on-year reductions. So it was over 5% in 2020, and we expect to deliver at least 4% further reductions in absolute terms this year. Then internally from a company-funded vehicle perspective, the annual conversion grew from 11% up to 25% this year. And again, we've a 100% target there by 2025, which we'd be very confident of achieving. In terms of our supply chain, clearly, that's one of the more -- one of the ones we have reached absolute control in, and we're making great progress in terms of the dialogue with our industry partners on us. But as of yet, we're not able to speak about specific targets, but we can assure you that there's deep engagement with a wider partner base, and I think a growing realization of the necessity of making some progress on their own carbon footprint. So we expect to be able to show some meaningful figures as we go forward on that, but not as of yet. From a waste-to-landfill perspective, again, it's not a big feature of our business. We don't have huge waste to landfill by comparison to some of our competing industries. But again, in absolute terms, we expect that to go from around 18,500 tonnes down to 17 in the current year. And we have some very interesting programs in place to make sure that goes significantly lower over the future of the business. We spoke about the PET upcycling, QuadCore. And then from a water harvesting perspective, again, a target of 100 million liters of rainwater to be harvested across our own facilities, and we expect to be up close to around 25 million liters in the current year. Slide 14, titled Circularity. Obviously, there's a very broad spectrum of solutions across the group, and it's difficult to go into them in much detail on a call like this. But suffice it to say, and it's probably not fully understood that the vast majority of products in Kingspan are reusable, not to mention recyclable, but actually reusable because of the modularity of the systems that we produce. They are also recyclable. So both the steel is clearly recyclable, the chemistry is recyclable and we're working on lots of projects there to make sure we have kind of, again, meaningful examples of that to be able to display what we do into the future. But the simple message is, the products are reusable, fully recyclable. And in terms of recycling hubs, we're in the process of setting up a number of those. But again, what I'd stress here is that the appetite isn't there in our particular product yet because we're still a relatively young business. Our products aren't in the market for really very long. And so the demand for stripping down buildings with our solutions really has yet to materialize. But we'll be ready first, and the important thing is it's entirely physically possible to integrate that into our business. From a global organic expansion perspective, on Slide 15, again, you'll have seen some of these before. Lots of progress. We've started a new line in Russia. We have started a new Kooltherm facility in Sweden. Work is ongoing in Sydney on a mineral fiber panel plant. We've opened the new line in Brazil just earlier this year. And again, another one under construction for next year. In the U.S., as the penetration of our systems grows, I think, quite radically at the moment. Again, in the Northeast U.S., we're in the process of building a new facility. And over the course of the last couple of months, we've just signed off on another greenfield facility, which will be delivered over '22 and '23 in Midwest USA. So lots of work on going from an organic perspective.
Catriona Nicholson: It's just worth mentioning there as well. Obviously, the facility in Sweden, the Kooltherm facility is fully electric, and actually, net-0 and generate 20% of its needs on site.
Gene Murtagh : Yes. Absolutely. And that's the plan going forward, clearly, for all of our new greenfields. And then just some summary before I hand you back to Geoff. On Slide 17, I think the result of all this is basically 17% compound growth over the last 20 years or so.
Geoff Doherty: Thanks, Gene. I'm now on Slide 20, just to deal with the financial highlights of the interim results. Group revenues at €2.92 billion, up 41% on the first half of last year, and I'll come to the components of that shortly. Trading profit of €328.9 million, up 64%. Earnings per share up by 66%, driven by the strong trading profit performance. We've declared an interim dividend of €0.199, which is 15% of our half year earnings, which is in line with our revised dividend policy, which we articulated in February of this year. Free cash flow of €141.8 million. We -- in light of the strong sales growth in the first half of this year, there was an investment in working capital, which I'll come to when talking about cash flow. Net debt at the end of the half year was €601.7 million. Leverage of -- in terms of net debt to EBITDA of 0.83x. Our trading margin of 11.3% was up 160 basis points half year on half year, and I'll deal with that by division in a second. Our effective tax rate in the first half was 17%. And that's our full year guidance in terms of effective tax rate as well for full year '21. We continue to incrementally build our returns on capital employed, and that's a fundamental measure that we drive through the business. Turning to Page 21. On the right-hand side of that slide, you'll see that for each half year from 2017 through to '21, we've grown our profitability on a compounded basis by a little under 17%. The -- from a margin perspective, we delivered a very strong margin performance in the first half of the year and pretty much all of the divisions contributed very strongly to that. And that was against a context and backdrop of pretty acute inflationary pressures where we'd annualized inflation of in excess of €600 million, which had to be recovered through the business. By division, insulated panels had a half year margin of 11.6%, up 60 basis points on last year's full year margin. And there was a number of factors driving that. We had strong operating leverage as a consequence of the 30% underlying volume growth in the first half of the year as well as a strong recovery effort on inflation. Insulation Boards delivered a 14% margin in the first half, in line with last year's full year margin. And again, that was delivered in the context of the inflation, but also a strong underlying volume growth of 27% in Board volume in the first half of the year. Light & Air, a modest trading margin in the first half of the year. It's very much a second half weighted division. And this year, we consolidated the Colt business for the full first half, whereas in 2020, we took up ownership of the business in April of 2020. So we didn't have the seasonally low first quarter in 2020. But the business -- the Light & Air business is trending towards full year revenues of the order of €550 million and a trading margin in the region of 8% for the full year. Water & Energy delivered a very strong first half. Its underlying sales were up by 24%, which was a key contributor to the strong margin performance of 9.4% in the first half. And Data & Flooring consistently delivers strong margins, and the first half of '21 was no different in that regard at 12.9%. Turning to Page 21, just bridging group sales and trading profit and just to deal with sales in the first instance, our total group sales were up by 41% in the first half. FX was a minus 3%, reflecting the half year on half year currency moves. Acquisitions contributed 8% to sales growth of €166 million. And underlying sales contributed 36 points out of the 41 points of sales growth in the first half of the year. So very strong underlying revenue growth. Trading profit grew by 64% on the first half. So if you go back to 2019, just for context, our 2019 trading profit was €230 million. So strong growth over that 2-year period as well as versus the first half of last year. FX clipped 3% or €5.7 million of trading profit in the first half. Acquisitions contributed 7% to profit growth or €14.8 million, and underlying profit grew by a little under €120 million or 60% versus the first half of 2020. Turning to cash flow on Page 23. We had a strong free cash delivery of €142 million in the first half of the year. The strongest dimension to that evidently was EBITDA of €373 million. Working capital was an outflow of €118.5 million. The KPI that we monitor closely in respect of working capital is the working capital to sales ratio. That measure was 9.7% of sales at the end of June '21. So actually lower than the 11.6% at the end of June 2020. And really what the working capital increase reflects is the strong revenue growth during the first half, which had to be backed up by working capital. Our interest outflow was €18.5 million. We expect that to be €3 million lower in the second half of the year due to the maturity of a 10-year private placement loan note at a higher coupon than is now our average. Our tax outflow of -- was €40.9 million in the first half, and our net capital expenditure was €60.3 million. Our full year CapEx guidance is approximately €160 million, bearing in mind some of the plans that Gene ran through earlier. In terms of the reconciliation of net debt versus our last year end, that's set out on Page 24. Cash flow reduced debt by €142 million. Acquisitions was an outflow of €431 million. We also repurchased 600,000 shares at a cost of €46.9 million. And we paid the 2020 final dividend of EUR 39.6 million. So they were the key constituents of debt movement in the period. Page 25 sets out our return on capital employed. And as I mentioned at the outset, we continue to measure this and drive this right across the business. And we've seen further incremental improvement on the measure through the first half at 18.9% versus last year's full year measure of 18.4%. And then finally for me, for now, just on geography, on Page 26. The key geographies are set out on that particular slide. Our largest territory, which is Western and Southern Europe is now 37% of the business compared to 35% in the first half of last year. Central and Northern Europe is 23% compared to 21%. The Americas, 18% versus 21%. And Britain in line with the first half of last year at 16%. With that, I'll hand back to Gene.
Gene Murtagh: Great. Thanks, Geoff. So lots of detail there in the slide deck by division, but we'll just take you all the way to Slide No. 33, if you don't mind, which is titled Outlook. So in terms of looking ahead, we've obviously had a great start, and we've an extraordinarily high backlog at the moment, almost problematic to the extent that our lead times have been pushed out significantly. And if anything, that's kind of reflected in near-term order intake, which is being -- is a little bit more subdued than what it has been. Construction activity, though, generally is buoyant across most of our key markets. And I think as a segment and as a business, I think we've continued to grow share even through these pandemic times. In terms of just what sort of base we have going forward, honestly, it's difficult to assess what that is. We're going through a period of extraordinary growth, all kinds of reasons for that. But we would -- in our assessment, it's the some degree of abnormality to what's going on at the moment. And the business is coping exceptionally well with it. But I think the key for us really is that we continue to focus on all the structural positivities that there are around our business, our products and the segments that we're involved in and the macro will be what it will be, but as a whole, I'd say that the group is extremely well placed to take advantage of whatever comes our way down the line. So with that, we're happy to throw it open to Q&A.
Operator: [Operator Instructions] Our first question today comes from David O'Brien from Goodbody.
David O'Brien: Firstly, Gene, I just -- I think you just touched on it there. I guess the question is, given all the supply constraints and challenges that we're seeing out in the marketplace you guys are kind of facing day-to-day, how has that impacted your own market share versus the general insulation market more broadly? I think secondly, you've touched on some of the organic development pipeline, what does the M&A pipeline look like at the moment? Is there a size in there? Is it more bolt-on in nature? It's been a quite busy period for you guys. And then finally, if we look at the log store business is now under ownership, you could maybe talk through some of the potential there and maybe some of the benefits we could see as it works a little bit more closely with the Data & Flooring business?
Gene Murtagh: Absolutely, David. Thank you very much. So yes, the supply constraints have been pretty acute across our business and actually across the segment -- or the sector rather, generally. But even in the face of that, I think we've been able to make significant progress. And by the way, we would expect those supply constraints to become a lot more alleviated into the second half and certainly into 2022. But in terms of it affecting our share, if anything, I think we've been growing share. We're conscious of what's been said out there by other industries. But if you just look at just the harsh numbers, like our business even versus 2019, which I suppose is the real comp at a revenue level is up around 30% year-on-year. And from what we've seen from numbers issued by competing industries, it's broadly flat in that segment. So I think just at a crude level, it would seem to me that our business certainly has been growing share quite significantly. From an M&A pipeline, we've been busy, David. You've seen what we've done so far. There's a very healthy pipe to be quite honest. And we had a great mix of bolt-on, which is bread and butter for Kingspan and also some interesting opportunities of scale. But as always, you can expect us to be disciplined on the entry in acquisitions. It served us very well over time, and we'll stay committed to that discipline, but lots of opportunity, I suppose, is how I'd characterize the M&A opportunity. And then from a log store piece, yes, so that business now is fully plugged in. Naturally, there's a process in terms of full and deep integration. But going very well so far, a really impressive set of products, a very impressive team that we're onboarding that we really look forward to working with and lots of opportunity to grow, in particular, the district heating opportunity for Kingspan and the wider technical insulation segment. One area that we've called out before in terms of being of particular interest is the Data segment is clearly growing. Data is a little bit unpopular in the sense of the amount of, I guess, waste heat, it just blows out through windows and there's a significant opportunity for the district heating solution to become more embedded into what the data center waste energy side is. So that's an area that we'll be focusing particularly on with the log store team and indeed the existing Kingspan team. So yes, exciting.
Operator: Our next question is from Arnaud Lehmann of Bank of America.
Arnaud Lehmann : I have 3 questions, if I may? Firstly, I think you commented about a slightly more subdued order intake recently. Do you mind giving us a bit of color there? Is it just because there was so much prebuying in the first half? Or what's going on in the business in July and August? Secondly, on the pricing, I mean, very impressive price increase already implemented in the first half. Do you need more of those in the second half to cover cost inflation? Or are you seeing now more, let's say, neutral price cost dynamics, and you've done what you have to do for the year? And lastly, welcome effort on the product integrity. Thank you for the details on that. As you've done these audits, have you identified any small or big issues that needed resolving?
Gene Murtagh: Yes, absolutely. So yes, in terms of the order intake, like that's very recent and just worth referencing, like bear in mind, we're going through kind of the summer period, and I wouldn't put too much store to it, but worth noting nonetheless, that in some of the key categories, our order intake is broadly similar to what it was prior year, which is lower than clearly what it's been for the first half. The backlog, I just have to add, is really very, very significantly up. So we've got a huge amount of that to work through. And as I mentioned, our lead times have been pushed out. And to some extent, that will affect our ability to take orders in the short term. So it's not so much that there's been prebuying because we have only so much ability to supply, but there's probably been a fair bit of preordering. And the second half of last year was a very strong period for Kingspan. So naturally, we'd expect those comps to become -- to come a little bit more challenging. From a price increase perspective, no, we've got a lot more to go, actually, to be honest. So broadly speaking, the inflation in the business was around 10% in the first half, and we would expect that to expand actually in the second half. So we're still experiencing some increases in raw materials. Obviously, tightness in supply that we've referenced before. So any of those increases we expect coming through, we will do utmost to recover. So that's incrementally, we expect our sales prices to be higher again actually in the second half. And then from an audit perspective, naturally, as you expect, when you're doing hundreds of audits, not everything is absolutely as it should be. That's naturally what the process is meant to throw up, but from a materiality perspective, absolutely nothing of concern.
Operator: Next question is from Flor O'Donoghue from Davy.
Flor O'Donoghue: Just a couple for me. One is just in the documents you referred to penetration growth in Panels in a number of geographies. A bit more color on that would be appreciated. Secondly, on Panels, just if you could give us an update maybe on the mix. And I guess we're trying to find out here where some of the kind of categories of potential growth over the coming years are currently? And then just finally, maybe I'm just wondering really would -- how much of the growth do you think has been possibly driven by short-term supply chain disruption kind of things like the race to build distribution, logistics facilities. Has that been a factor in your view?
Gene Murtagh: Thanks, Flor. So just in terms of penetration growth, like it's been fairly resounding in some markets, to be frank. Like the North American markets, we've been grinding away at that for quite some time. The big opportunities there are against tilt-up concrete, which from a carbon perspective and in its manufacturer, but also in its life in the building is just really not a positive solution. So on the walls, we've been focused on that area and on roofs, focusing on built up, traditional built-up metal or even uninsulated systems. So we've got traction. And an awful lot of the very large projects that we're winning right now in North America would, even 3 or 4 years ago, have definitely gone traditional. So there is momentum there. Brazil, I would say, is similarly, really resounding penetration growth and category growth there against traditional systems. And then even in Europe, markets such as France, I'd called out as an area where we've made really significant progress to the point that it's our single largest market, actually, globally as a country. So France has grown to that extent, clearly through some acquisition, but the organic growth has been really compelling there in the first half. And from the point -- what was the second point, Flor?
Catriona Nicholson: Panels update on mix category, logistics and distribution Data as such.
Gene Murtagh: Yes. So those segments are -- they're growing as a share of our business. And as I said, some of them have been long embedded, in particular, distribution has been long embedded with Kingspan, but the type of distribution is clearly changing and online is becoming increasingly prevalent. So that's been big, and it's growing. And I'd say similarly for Data and naturally for the EV market, which is, as I said, is really at a very embryonic stage, and it's an area where we naturally don't win every job that's out there, but I'd say we've become a reasonable authority in terms of the solutions we provide to that sector. And then from how much of the growth has been due to a short-term rush? Like it's really hard to ascertain how much of it has been that. I don't -- I wouldn't -- I don't think I'd characterize it as a short-term rush. I think there's a fundamental shift in some of these sectors that we expect to kind of compound over the future. Like if you look at some of the very natural big household names and online retail and so on, they're really only getting going when you look at the project pipelines they've got out in the future, and we're clearly well engaged with some of the -- as I say, the names you know and lots of the names you wouldn't know. So yes, maybe a little bit of a squeeze right now, but we'd expect it to continue to grow.
Operator: Our next question is from the Yves Bromehead from Exane BNP Paribas.
Yves Bromehead: I had 3 questions, if I could? Number 1 is on the Fit for 55. There's quite a big focus on public renovation. The run rate about 3%. And it's probably fair to assume that a lot of those works will be on the facade. And it's unlikely that those public buildings will want to lose space internally. So I was wondering, are you already getting some requests, information or any sort of bespoke type of work from the public side, if that would be the case? My second question is just on Slide 10, related to product integrity. Can you quantify what is the actual euro million impact of hiring new compliance officers, getting the new ISO accreditations? And generally, just more auditing work, I guess, if there is a material impact or not? Also, could you remind us what's the time line on the Grenfell report related to Model 2? And maybe lastly, on the M&A front, you've been quite active, but it's been -- ex log store it's been mostly bolt-on, then I guess closing deals in Panels and Board is a bit more complex. The membrane in technical insulation is also a bit more competitive. So can you maybe help us to understand, are there any divisions, verticals, industries where you're maybe not present or present to a small stage that you think the market is less attentive to, but where there is a great deal of attractiveness and excitement from your perspective?
Gene Murtagh: Yes. Okay. I think that was 4 or maybe 5, even but anyways. So on the Fit for 55, as always, we'd be pretty calm about these kind of government initiatives, if you like. And as they flow through, that will be tremendous, but it's not something that we necessarily kind of build our business on. From an innovation perspective, you're right, a lot of it will be external. And we have super solutions for that in terms of -- in general, it's going to be probably rendered facades in a lot of instances, and we have a number of solutions for that. But I couldn't point towards any specific opportunities that have been coming in the door, but there's an attractive pipeline, let's put it that way, in our Insulation Board business. And I would say the renovation -- generally speaking, renovation as an end market for Insulation Board business has been growing, and we'd expect it to grow disproportionately to new build over the longer term as well, that's at least our thinking. In terms of the Slide 10, we don't have an absolute cost, just to hand for you on that. But to be honest with you, whatever it takes to be right on that all side is what it will take. But I don't have a number for you right now in terms of what that's entailing.
Geoff Doherty: And what I would just say on that is we've historically already made a very significant investment in our compliance function across the business. So the incremental investment that we've made while it's significant, it's not material in the context of our profitability. It won't be evident in terms of that, but it's a significant compliance spend across the business, and much of that was in place historically.
Gene Murtagh: And then Grenfell timetable?
Geoff Doherty: Grenfell timetable. We have no real hard visibility on that just yet. The final Grenfell report isn't expected until 2022 at the earliest. But we don't -- that's the timetable that we don't control, and that has ebbed and flowed a fair bit over the last couple of years as well. So we just have to await developments there.
Gene Murtagh: And then finally, I think in terms of other opportunities, Yves, I think we've -- it's clear in terms of industrial insulation, it's clear in terms of the existing categories we're involved in. But we would be enthused about the opportunity in flat roofing or membrane roofing in essence. And we've so far failed to get proper traction on it, but it remains an area though of significant focus for us. And not because we're interested in the waterproofing per se, we're interested in the insulation that, that waterproofing can drive. And that's fundamentally why we remain focused on it. But yes, that's an area that we expect to make some progress in the future.
Operator: Next question is from Manish Beria from SocGen.
Manish Beria: Congratulations on very good set of numbers. So I have 2 questions. The first one, in the first half, did the price cost was positive or negative? And also if you can comment by division in panels and bolt, the price cost thing? The second question is, like if I look at your volume growth in the first half, it's like 10%, in Q2 it's 15% versus 2019. So of course, the clear acceleration from 5% in Q1 to 15%. So how should we think about the second half? Like it still remain at 10% or this 15% continues, but you are already saying order intake is lower and things like that, so maybe 10% looks a good number for the second half in volume versus '19? So these are my 2 questions, yes.
Geoff Doherty: Yes. Thanks for those questions. Firstly, on the price cost dynamic in the first half, largely the cost was fully offset by price in the first half, and that's reflected in the margins. We don't expect volume growth in the second half versus the second half of 2020 to be as strong as the growth was in the first half because we had a reasonably decent second half last year. So I would say volume growth is more likely to be high single digits than the 10% you outlined there.
Manish Beria : Versus 2019 -- yes.
Geoff Doherty: Yes, versus 2019, not too far off 10%, correct?
Manish Beria : Okay. And also, if you can comment this price cost by division Panels and Board in the first half?
Geoff Doherty: What I would say is, without getting into specifics on it because there are some sensitivities around it, you can take it that in the case of both Panels and Boards, because they had different dynamics in terms of chemistry, steel and the various inputs around that. But in both cases, we got recovery. But we don't split that out by division.
Operator: Our next question is from Gregor Kuglitsch from UBS.
Gregor Kuglitsch: I've got a few questions. Maybe firstly, coming back to the exposure as to sort of your high-growth categories. I know this fluctuates sort of period to period. But if you could just give us a sense kind of, I don't know, for the Panels business and for the group as a whole, what the sort of percentage exposure is, rough numbers would be helpful? The second question is, I thought it was interesting, I think you're actually building a fiber plant in Australia. Can you just like to remind us how much of your business is overall fiber rather than sort of chemical insulation? And is that an area that you think you'd want to grow a little bit more into, and obviously, it's not the historical core and not the sort of proposition, but nevertheless, you are investing. And then maybe a question sort of the early thoughts into next year. Obviously, you called out this year being kind of extraordinary. But if you could just give us your early thoughts and appreciate there's plenty of time to go until we're actually by the end of '22, but what you -- how you kind of see things shaping up? I mean, obviously, many dynamics with potentially some deflation on the commodity side in the future, the comparison basis, et cetera?
Gene Murtagh: All right, Gregor, thanks very much. Yes, in terms of the high-growth sectors that we've been focusing on and we've talked quite a bit about, we'd say approximately 25% of our Panels business would be in that area. And probably that 25% is growing actually as those segments grow. But that's, in essence, it's something in that order of our business. From a fiber perspective, now to be clear, we're not building a fiber plant, and we have no desire to ever do that. It's a fiber panel plant. So where we buy fiber from the usual suspects and essentially integrate it into our products. So globally, approximately 10%, 10%, 11% of our insulated panel business has a fiber core. And actually, that's not been growing as a proportion. And I think that's -- I'd say that's a reasonable proxy as well, incidentally, for what's happening more broadly because we just -- we provide a broad palette of solutions. And as I said, the fiber core is slightly north of 10% of that and not growing. So it's a solution we provide it as opposed to one that we promote. It's -- as you know well, it's an extremely inefficient product. It's very thick, heavy, very carbon intense. So it's not really something we want to get any bigger at. But whether -- insofar as where there's demand for it, we'll supply it. And very often, it ends up being 1 elevation of a building, for example, a partition wall between different buildings or something. So 3/4 of it goes with QuadCore and then 1 elevation goes with fiber or whatever. So it's there to kind of, if you like, supply-demand rather than something we're going to focus more on.
Gregor Kuglitsch: And in terms of the long term?
Geoff Doherty: Yes. In terms of just the long term and early expectations around 2022, Gregor. I mean, firstly, it is early days. But I think secondly, and most importantly, 2021 is shaping up to be a very special year for Kingspan. If you take the numbers that we've announced here this morning, we expect consensus to land at €685 million or €690 million trading profit for 2021. Doing that again and repeating that performance in '22 will take some amount of delivery. And if you were to compare a number of that order for 2022 with 2020, so over a 2-year cycle, 2020 was a record year for Kingspan, where we delivered a trading profit of €508 million and a number of €690 million or €700 million implies 35% trading profit growth over those 2 years. So I think we just need to be calm and measured about the expectations for next year of what is a very special year this year.
Operator: Our next question goes to Yassine Touahri from On Field Investment Research.
Yassine Touahri: Yes. So I would have 3 questions. You mentioned that your backlog is very significantly up. Could you quantify how much is that year-on-year? Then you mentioned -- my second question is on prices. So I understand that prices in Board and Panel were approximately 10% in H1. And you are implementing some sequential price increase. What kind of price increase would you expect in H2 year-on-year? And then you're mentioning as well that you had some cost inflation of 10% in H1 and that you expect more in H2. What kind of cost inflation would you expect in H2 2021 versus H2 2020?
Gene Murtagh: Okay. Thanks, Yassine. So from a backlog perspective and globally, clearly, the picture varies by country. But generally speaking, it's been very strong in most places. So in terms of quantifying it, suffice it to say, it's well in excess of 50% higher than what it was 12 months ago. So it's in that order. So it's very significant. And bear in mind, our lead times for a lot of our key products are probably double what they would have been a year ago as well. So the market is kind of getting -- market has to train itself a little bit for longer lead times as supply constraints remain. But numbers-wise, that's broadly what it's like. From a price inflation perspective, as you rightly say, about 10% increase in the first half and year-on-year, we'd expect that to be approximately 15% year-on-year in the second half. But bear in mind, we're still going through a period of unpredictability in terms of where the prices of our raw materials go. But our expectation is that most of them will increase again in the second half. And if that requires further price increases, we'll have no option. But broadly speaking, I would expect this H2 inflation year-on-year to be higher than H1. And I kind of answered it there in terms of just further cost increases, it was around €300 million in the first half, and it will be at least the same again in the second half as what we'd expect.
Operator: The next question comes from Yuri Serov from Redburn.
Yuri Serov: I only have 7 questions.
Gene Murtagh: That's fine.
Yuri Serov : No. Let me them out and you tell me what you can answer. Insulated Panels margin. Yes, you previously were saying that your normal margin is 10% to 11%, you delivered something higher than that in the first half. Now you have done that in the past, but this was a very extraordinary year with very high cost inflation when we usually expect margins to be lower rather than higher. Does that suggest that your margin expectation in a structural way for the future is going to be reset to a high level? Secondly, you're talking about volumes in the second half of low single digit or whatever, single digits. But you just said that your backlog is up by 50%. How do I square those 2 things? Thirdly, acquisitions. You said you have a lively pipeline and acquisitions are opportunistic. We all know that you cannot predict how much we're going to spend. But let me ask you the question this way. So if I were to say to you, you're going to spend €1 billion on acquisitions in 2022, is that realistic? Is that possible? And then Grenfell, you say nothing in the report about Grenfell. I understand that it's no longer an issue. But still, just curious if you could quantify how much you're seeing in terms of claims and what you will expect them to be in the end overall? And then finally, and sorry, I'm being very greedy here. Like, you explained that there are reasons why the performance wasn't poor. But for me an outsider looking at the numbers, it looks very poor. Can you please explain what is happening there? Do you still like the segment? Do you think we can improve the profitability? Or are you happy with the profitability at this level?
Gene Murtagh: Okay. So in terms of the insulated panel margin, no, I don't think we'd say that that's a fundamental reset. We're going through a period of lots of ins and outs and ups and downs and all sorts. And it's just -- it's a very unstable market at the moment. So what I'd say really is that our teams have been particularly successful in cost recovery. And in some markets, we've probably even overcovered. But that's in anticipation of further cost increases, as I said, into the second half. So it's worked out well for us so far. And I suppose in essence, it shows the pricing power that our business has at a time like this. From a volume perspective, yes, how do we square an order bank so high with volumes up. I don't think we said volumes are going to be up single-digit second half.
Geoff Doherty: What I would say just generally on that, Yuri, is our underlying sales were up 36% in the first half. We expect that growth rate to ameliorate in the second half of the year. It will be half that or there or thereabouts in terms of an overall percentage growth in the second half of the year in terms of underlying sales growth.
Gene Murtagh: Yes. And then from a lively pipeline perspective, you're right, it's lively and it's entirely unpredictable, as you know well. Is it possible that we would do €1 billion of acquisitions in 2022? I'd say, yes, highly possible, but it's also highly unpredictable. So if we can have the right opportunities at the right valuations, absolutely, we'd be -- we'd really welcome opportunities like that, that we could onboard, and we're well prepared for it. From a Grenfell perspective, we don't report it because there's nothing specific to report over the last number of months. That process is ongoing. We remain as committed to it as we've ever been. And from a claims perspective, it's not been particularly significant.
Geoff Doherty: Yes. No material move in the claims experience in the first half of the year. So...
Gene Murtagh: And we're working through that job by job, issue by issue. But as we said 6 months ago, despite how we were depicted like our products are extremely sound. And as we work through these job by job, that's evident.
Yuri Serov: Okay. Can I just clarify, you say nothing material to report. So last time when we were talking about this, you were suggesting numbers of €30 million in total or maybe €20 million. So what is it coming out to €5 million?
Geoff Doherty: What I'd say on that, Yuri, is that those numbers that I gave in February were indicative of what the potential outcomes could conceivably be. It's nothing like that. So yes, it's not anything like that €25 million or €30 million number.
Gene Murtagh: But it may be.
Geoff Doherty: But it may be.
Gene Murtagh: May be. Like we said, the pistol runs for years. So and we'll take it as it comes. From a Light & Air perspective, you're right, absolutely. At a first glance, you say 2.7% is not very disappointing. Of course, and we would agree with that. But you got to bear in mind 2 things. This is an acutely second half business, number one. We onboarded the business, which essentially this organization goes through heavy losses typically in Q1. So year-on-year, you got to bear that in mind. And we committed to as committed to it as we ever were. And I'd say we're intensifying focus as well on growing the business and growing it through acquisition as well. So we're completely committed to it as a segment.
Operator: Our next question is from Cedar Ekblom of Morgan Stanley.
Cedar Ekblom : I've got 1 question on your Scope 3 ambitions. I appreciate that it's very early in the process. But I wonder if you could give us any understanding on what you think your Scope 3 ambitions may mean for your cost base? And also if you could give us some color on what percentage of your customers have expressed an interest to buy product, which potentially have lower Scope 3 ambitions, but -- Scope 3 emissions, but could also come at a higher price? Just some early indication of what's actually happening on this initiative?
Gene Murtagh: Yes. A very interesting topic, actually. So everyone wants the cleanest product until you get to sit down and talk about the price. So I think it's early days on that. from where we stand right now, let's call it a green premium. That's going to exist. We expect in some of our raw materials that naturally, the processes that are required to clean up some of those areas are going to require significant capital. And in some cases, there will be a fundamentally higher cost as an input. So it will be an interesting contest and all really yet to unfold to see what the real appetite is when the cost is understood. But we would expect this top-tier organizations certainly public sector are just going to have to look across the cost increases and just get involved in these solutions. Because to be honest with you, unless that happens and unless the demand is there, the supply side won't adjust. Why would it? So yes, it's unfolding, but there is a significant interest, I would say, from top-tier end market for lower carbon solutions, very significant effect.
Operator: Nothing further in the queue. So I'll hand back to the management team.
Gene Murtagh: That's excellent. Thank you all very much, and we look forward to engaging with you all over the coming days and weeks. Thank you.
Catriona Nicholson: Thank you.
Geoff Doherty: Thank you.